Operator: Good day and welcome to the Second Quarter 2016 Results Conference Call. For your information today’s conference is being recorded. At this time, I would like to turn the call over to Mr. Nihat Narin, Director of Investor Relations and Business Developments. Please go ahead, sir.
Nihat Narin: Thank you, Trish. Thank you for your participation. And I would like to say, welcome to our call on behalf of the management team here. We will start today with the presentation by our CEO, Kaan Terzioglu, followed by a presentation by CFO, Bülent Aksu. And then we will go into the Q&A session. Just before we start the presentation, I would like to remind you of the brief legal notice that presentation, we will make statements that are forward-looking about our future targets and expectations and these are based on our current views and assumptions which may of course change in the future and our actual results may be different. Mr. Terzioglu, please, go ahead sir.
Kaan Terzioglu: Thank you, Nihat. Good afternoon and good evening everyone and welcome to Turkcell second quarter 2016 results call. Today we have a full house here including our recently appointed executives, Chief Financial Officer, Bülent Aksu, Chief Marketing Officer, İsmail Bütün and our Chief Strategy Officer Ilter Terzioglu as well as Chief Sales Officer, Murat Erkan; Chief Technology Officer, Ilker Kuruöz; Chief Legal and Regulation Officer, Serhat Demir; and Chief Business Support Officer, Seyfettin Sağlam. Before getting into the numbers, I should highlight that Turkey has overcome a major challenge to its democracy by successfully averting a coup attempt. Our people and business community have firmly demonstrated their continued commitment to the civil rule and democratic institutions. We are confident that this clear and swift rejection of an anti democratic course safeguards Turkeys’ political and macroeconomic future. In short, now it is time to look forward to a brighter future for Turkey as Turkey and Turkcell has toughened and our sector demonstrated success. While recent events might have some short term business implications the prudent steps that we have already taken provided buffer against potential currency risk and strengthened our liquidity. Therefore we are fully funded and committed to our business run for the next three years. Our CFO will expand on this further. In addition, today we announced our Board of Directors decision to buy back our shares in order to protect our small investors against market volatility and to purchase or redeem our company’s bonds. Moreover, we marked a milestone in the telecommunication sector today serving today’s Turkey’s broader 2023 economic targets. With a view of an efficient use of our resources while establishing a fair and competitive environment we have taken significant steps towards forming an infrastructure company together with Vodafone, Turksat and Union of small ISE [ph] association Telco. These alliance members constitute 55% of the telecommunications industries today’s revenues. Now turning to the numbers. Group revenues rose 8.6% to TRY3.4 billion and EBITDA by 3.5% year-over-year to TRY1 billion, while the EBITDA margin was at 30.7% in the second quarter. Both are record second quarter levels for the group. Group net income as per IFRS was TRY416 million mainly due to lower net finance income, the negative contribution of Fintur, and higher amortization expenses due to the 4.5G license. Meanwhile pro-forma net income decreased 4.7% year on year to TRY542 million. The impact of Fintur has been TRY128 million this quarter alone. For the first half of the year we are in line with our expectations. In the first half revenues rose 8.4% and EBITDA 5.7% resulting in a 30.8% EBITDA margin. Thus we reiterate our full year revenue and EBITDA guidance. Group net income as per our IFRS was 14.7% year-on-year to TRY979 million and pro forma net income rose to TRY1.1 billion. Our operational CapEx to sales ratio was 25% in the second quarter and 23% for first half of 2016 due to accelerated 4.5G investments in line with high demand in the market place. We believe in Turkey and the rising demand of our customers for 4.5G services encourages us to sustain our investments. We expect our 4.5G investment to keep its space and therefore we revised our full year operational CapEx to sales ratio expectation to 25%. Moving onto the next page. I am pleased to state once again that Turkcell Turkey has recorded all time high second quarter revenue and EBITDA. Turkcell Turkey remained our key growth driver. Revenues rose 8% and EBITDA increased by 0.9% year-on-year with a margin of 30.7%. In Q2, the EBITDA margin was down 2.2 percentage points yet this resulted from increased network and marketing expenses due to 4.5G launch to further strengthen our technology leadership for the future. We are comfortable with the EBITDA level in the quarter given the marketing expenses for 4.5G launch. This was also in line with our outlook that we disclosed for 2016. Turkeys’ pro forma net income rose 9.5% year-on-year to TRY513 million. In the first half, Turkcell Turkey revenues rose 8.9% to TRY5.9 billion and EBTIDA ramped up 5.5% with an EBITDA margin of 31%. Pro forma net income for the first half reached TRY1.1 billion on a 1.5% year-on-year increase. Moving to the next slide. I’m happy to say that 8.6% growth in group revenues marked the highest revenue growth of the first three years with an increasing pace every quarter. Turkcell Turkey which accounts for 90% of our group revenues increased by 8% due to our value focus customer acquisition and convergent strategy. Turkcell international revenue comprising 6% of the group revenues were almost stable in TRY terms and recorded 9% organic growth. Other business revenues at 4% of group revenues ramped up 43.3% driven by the contribution of recently founded Turkcell consumer finance business. Together with the revenues generated from our financial services reported on the other segment Turkcell Turkey revenues would have increased by 9%. Moving onto the next page, in the second solid performance continued across all major business segments. Consumer and corporate segments grew 8% year-on-year on strong demand for data and digital services especially after the 4.5G launch. We are pleased with the robust demand through our 4.5G services. As of today we have 16 million customers subscribed to these services. Therefore we accelerated our investments resulting in 82% of 4.5G population coverage. Our 4.5G users have consumed 2.4 times more data than a non-user. With 23% of data traffic now on our 4.5G network. Given this demand our focus is on increasing the number of 4.5G enabled smartphones and SIM cards. Our mobile fixed data revenues rose 36.2% in the second quarter to TRY1.1 billion on higher smartphone penetration and data consumption. Our focus on services has resulted in 56.1 year, year-on-year growth in revenues. Among those services TV revenues have grown 249% and music revenues grows 181%. Accordingly, given the solid performance of data and services the share of watch revenues further declined to 42% of our total revenue stream. Moving to the next page, we continue to focus our efforts on expanding our value generating customer base and enriching user experience through our strong mobile and fiber networks, dedicated sales force and customer care. On the mobile side, our first stage customer base rose almost TRY1 million year-over-year to TRY16.8 million. Post paid customers now constitute 52% of the total further improving the subscriber mix. On the fixed side, our total customers exceeded TRY1.6 million. We have added 295,000 new customers over the first 12 months of which 148,000 were fiber customers. Smartphone penetration on our network reached 60% with 3.7 million net additions. Our contracted smartphone sales continue to perform strongly rising 11% in the first half of 2016. Our contracted sales have been on track and we foresee no major impact from the recent events in the consumer behavior. Supported by our focus on high value generating customers and increased package penetration mobile ARPU rose 7.1% year-on-year to TRY25.7 where consumer ARPU increased by 11%. We have also seen a solid growth of 13% in average revenue per acquisition which confirms our value driven strategy. In the second quarter, additionally six residential ARPU rose 7.1% to TRY51.3 with the expansion of multiplay customers with TV and inflationary pricing adjustments. Moving onto the next page. As the first and only company in the Turkish market to offer a real conversion experience with single billing we continue to see the rising demand for our multi-play offers. On the mobile side, the share of triple play offers has been rising steadily reaching 20% in the second quarter on a 3 percentage point quarterly rise. On the fixed side, our multiplay ratio in total fiber residential subscribers which includes internet and TV users rose also 3 percentage points on a quarter-on-quarter basis to 33%. These upward trends in multiplay offers are signs of take up of converged offers in the market. Moving to the next page, digital services are a key component of our future positioning, while certain services directly generate revenue, others such as My Account play a key role in retaining customer loyalty. According to our calculations among heavy users of these services we observe positive impact on both ARPU and churn levels. Total downloads compared to the last year rose from TRY12.5 million to TRY31 million and the number of subscribers accepting our services in terms of paid subscribers rose to TRY16.7 million. Our new generation communication platform BiP continued its rapid rise surpassing 8.9 downloads to-date. Our calculations BiP decreases the churn by 0.5 percentage points. My Account which was upgraded for screening mobile and fixed quota usages had been downloaded 8.1 million times to date. Our leading music platform Fizy has reached 6.7 million downloads. Fizy provides TRY3.2 incremental ARPU and decreases the churn by 0.7 percentage points. As of today we have around 1.8 million Turkcell TV mobile downloads. Mobile TV provides TRY5.2 incremental ARPU and decreases the churn by 0.8 percentage points. Moreover, the IPTV platform has reached 303,000 customers on 35,000 quarterly net additions. The most widely used personal cloud service in Turkey, smart storage geared up to 2.9 million downloads while the best sports up in the sector goes on your mobile has been downloaded 2.4 million times. Furthermore, our online education platform Turkcell academy has been downloaded by 900,000 customers and our digital publishing service by 400,000 customers. Moving on to the next page, we are very pleased with the overall performance of BiP, our instant messaging platform. We have added few features to the BiP as part of app to network call in addition to voice over IP and video call capabilities. Our customers also continue to enjoy free data over BiP while roaming. BiP also offers service platform to a wide range of sectors including banking, insurance, customer care, entertainment and the media. These services we believe will increase both customer loyalty and usage as well as accounts for corporate sales revenue. We also appreciate the global performance of BiP, the downloads of which has risen 25 folds year-on-year. BiP’s penetration in countries of operation is outstanding. Ukraine, Northern Cyprus and Belarus are among the top countries with the highest BiP downloads. In Northern Cyprus BiP reached 11% of population penetration. Moving to the next page, with our technology leadership in Turkey and through international collaborations, we will continue to the global positioning of our country as a regional information hub. Accordingly in the second quarter, Turkcell unveiled Turkey’s largest data center in Gebze. This data center is spread over a total area of 33,000 square meters with 20 rooms of active area of 500 meters square each. The building has 33,000 meters of fiber connections total investments for Gebze data center is expected to reach TRY275 million in three years. In this manner Turkcell had tripled its total data center space reaching 52,000 square meters with 17,000 square meters of wide space. Furthermore, we are planning to open two new data centers in Ankara and Izmir over the next 18 months. Upon their completion Turkcell will have a total data center area of 107,000 square meters. Turkcell international revenues were at TRY204 million with the impact of currency devaluation in Ukraine and Belarus and the EBITDA margin decreased 1.2 percentage point to 26%. Lifecell is the major component of our international business in Ukraine. Lifecell continued it growth in local currency by 7.1% almost doubling mobile broadband revenues. The EBITDA margin fell 3.8 percentage points to 26.4% this was mainly due to higher network related cost from the 3G for roll out, operational leasing expenses after the sale and lease back of transaction of lifecell towers and the marketing costs of rebranding activities from life to lifecell. In Belarus, revenues rose 25.1% year-on-year with increased voice and terminal revenues. The EBITDA margin improved by one percentage point mainly due to operational expense managements. Our operational in Northern Cyprus comprising 17% of our international revenues recorded a 2.7% year-on-year growth. The EBITDA margin declined by 1.8 percentage points to 38% driven by regulatory amendments regarding termination rates, additional frequency fees. Now let me handover to Bülent for the financial review. Bülent?
Bülent Aksu: Thank you, Kaan. As mentioned I’m heading [Indiscernible] and I am happy to be a part of the Turkcell family. Good afternoon and good evening to all participants. I will now talk in more detail about our financial results. In the second quarter as Kaan highlighted, our business in Turkey was the main revenue on EBITDA growth driver. Turkcell Turkey incremental contribution to our top line was TRY222 million mainly extending [ph] from data and services. This resulted in 8% growth in Turkcell Turkey revenues, including the financial service revenues from Turkcell financing company, our revenue generated from Turkey operations increased by 9% year-on-year. Other subsidiaries contribution was at TRY44 million and year-on-year growth was 43.3%. This was mainly the affect of Turkcell consumer financing company which commenced operation nationwide in March of this year and this to date has funded more than 1 million agreements for smart [Indiscernible]. Moving onto next page, Consolidated EBITDA rose by 3.5% exceeding TRY1 million year-on-year. In normal terms Turkcell Turkey and Turkcell financing company were the main growth drivers of Group EBITDA. The EBITDA margin was down by 1.5 percentage points; this was mainly due to the rise in direct cost of revenues. Excluding depreciation and amortization the direct cost of revenues increased by 1.6 percentage points mainly due to the network related expenses. Administrative expenses rose by 0.3 percentage points. Selling and Marketing expenses declined by 0.4 percentage points driven by the decline in selling expenses with our value focused customer acquisition strategy despite the rise in marketing expenses related to the 4.5G launch. Moving onto the next page. In the second quarter, net income as per IFRS declined to TRY416 million, this was mainly due to TRY24 million translation loss in contract to a translation gain of TRY261 million in the second quarter of last year. Higher interest expense on loans and 4.5G payables, negative contribution of Fintur amounting to TRY8 million compared to a positive TRY94 million a year ago mainly driven by the evaluation impact and operational tax cost in the region and higher amortization expense due to the 4.5G license. I will now talk about our balance sheet and cash flow items on the next page. Our net debt position was at TRY3.5 billion and our consolidated debt at TRY7.3 billion at the end of June 2016, the rise in total debt and cash balance was mainly due to the utilization of €445 million and US$500 million club loan facility at favorable terms to further strengthen our liquidity. During the quarter the major cash outflow items included capital expenditure of TRY880 million which TRY802 million was related to the Turkcell Turkey. The second installment of the 4.5G license fee payment of TRY1.3 billion, advanced payment for fixed asset purchases from Erickson and Huawei of TRY950 million. Moving on to the next page. I will now like to briefly discuss the foreign currency breakdown of our cash debt and CapEx. We set balance foreign currency cash on debt position in order to reduce currency exposure. The entire foreign currency debt position is related to the Turkcell Turkey and some portion of it was literally hedged which I will explain in detail. Our net debt to EBITDA ratio was 0.9 [ph] time as of June Turkey 2016 change from a net debt position of 0.3 times as of 2015 year end. Turkcell is the only company in Turkey to start paying three investment grade ratings from rating agencies. Recent with Standard & Poor's affirmed out BBB minus ratings and revise outlook to negative consolidated rating actions following recent events. Even our responsible on this [Indiscernible], financial management, we are committed to maintain an acceptable level of net debt to EBITDA ratio. Furthermore, a number of tests that we have taken over first quarters provide sufficient liquidity and a buffer against potential currencies [ph] that might come from international fluctuations. Our liquidity position remains strong and we believe will require no further liquidity measures. Moving on the next page. In order to hedge against foreign currencies we aim to hold almost all of our free cash in U.S. dollar or Euro which improves our net foreign currency short position and reduce our exposure. In addition, recently in June and July we engaged in participating cross currency swap transaction at very favorable rates. With this transaction, Turkcell has swapped €500 million loan to Turkish Lira in June and a US$150 million loan to Turkish Lira in July to protect us against interest rate and currencies. Through all these actions we have decreased our debt in foreign currency by almost 50% and made our balance sheet more immune to macroeconomic volatility. This brings us to the end of our presentation today. Thank you very much for being with us. And now we are ready to take your questions.
Operator: Thank you. [Operator Instructions] We will now take our first question which comes from Ivan Kim of VTB Capital. Please go ahead.
Ivan Kim: Yes. Good evening. Two questions from my side please. Firstly, on the cost of sales, the cost of sales increased quite a bit. Can you please elaborate on the reasons behind that and what should we expect for the second half of the year? And secondly, what are the reasons for relative to the first quarter slowdown of mobile revenue in Turkey? And maybe some couple of forwards on the competitive environment in the mobile space and the price action following the launch of 4.5G in line with your expectations? Thank you.
Kaan Terzioglu: Ivan, thank you very much. First of all, thanks a lot of asking the question around mobile revenue and as well as the cost of sales issues. Now, frankly speaking, 4.5G launch marks an important turn into our service commitments to our customers. The 10 customer commitments we have provided which actually aligned with the 4.5G launch has significant issues related to our revenue growth potential. And these are temporary issues and they were deliberately taking by us in order to accelerate the 4.5G deployment. One, was we doubled the quotas of all of our users which actually put a cut to the potential over utilization revenues, which was again done specifically based on the five time commitments we have given to the customers. Second issue was about our roaming strategy in terms of cost of the roaming. We make changes to our roaming strategy to make sure that we had favorable roaming rates to our customers basically repositioning us as the most competitive player in this particular area. This had potentially impact close to about TRY30 million in terms of the revenue potential this quarter. With regard to the cost of sales, there are two main issues there which I would like to explain. One, we have stopped the practice of subsidizing tax for new established lines. This actually allowed us to focus on high revenue potential customers eliminating unnecessary cost related to taking on new customers with very low or no revenue potential at all. This was a reduction in our sales expense which we have actually used as a further budget for marketing expenses for the 4.5G. So, these elements increased our cost of sales in terms of the total marketing expenses while giving us more headroom in terms of reducing our sales acquisition costs. Both of these transactions actually as I mentioned were actions we have taken knowing the results and also we are enjoying now the positive market impact. You have also asked the question about the market. Since six quarters we are seeing consisting rationalization of the Turkish market. The market competition replacing actually by healthy inflationary pricing, this is visible, not only in our numbers but in the numbers of the competition which was announced recently.
Ivan Kim: Great. Thank you very much.
Kaan Terzioglu: Thank you, Ivan.
Operator: Thank you. We'll now move to our next question from Vyacheslav Degtyarev of Goldman Sachs. Please go ahead.
Vyacheslav Degtyarev: Yes. Thank you very much for the presentation. Two questions from my side. Firstly, can you please elaborate on your medium term revenue and EBITDA guidance? Does this sustain tax as you didn't present in this quarter presentation. And also how do you view your long-term CapEx to sales ratio and given the recent change in the 2016 guidance. That's the first question. And the second one is, can you estimate the impact of lower incoming tourist into Turkey in the third quarter. So, what is their roaming exceeded their high summer season as well as the amount of SIM cards purchases by tourists? Thank you.
Kaan Terzioglu: Thank you, Vyacheslav. First of all, I think I made a exclusive comment about reiterating our short and midterm revenue and EBITDA guidance and there no changes in that. If you look to the guidance we have provided on at the end of the 2015 for 2016, we said, our EBITDA margin would be in between 31% to 33%. As you can imagine this was lower than 2015 EBITDA margin which was 32.4%. So the change you see in Q2 numbers reflecting this actually prediction. In terms of long-term CapEx to sales ratio, our three-year plan has not changed. We have accelerated some of our CapEx investments and this will be reflected in this year taking our CapEx to sales ratio to 25%, but long-term we remain committed to 17%, 16% range in terms of our CapEx to sales ratio. The last period, the six months, Turkey has seen a lower number of incoming tourists. We see almost a 30% decline in the total tourist population and this is of course reflected in our revenues as well.
Ivan Kim: Okay. Thank you.
Kaan Terzioglu: Thank you.
Operator: Thank you. [Operator Instructions] We seem to have no further questions on the phone at this time.
Nihat Narin: Trish, there is a couple of questions through website. Let me actually ask my CEO to respond some of those.
Kaan Terzioglu: Sure.
Nihat Narin: Kaan, then could you just tell us that what's your plan about TRY150 million that you disclosed about the buyback. Are you going to buy the shares or share bonds? This question comes from Barrick [ph] right, Barrick [Indiscernible] from Global Securities.
Unidentified Analyst: That's correct.
Kaan Terzioglu: Yes. Today's Board Meeting we decided that we would do share buybacks or bond buybacks up to TRY150 million and this will be of course an action that will be done in case of high volatility in terms of protecting minority shareholders interest as well as benefiting from potential volatility in the bond market prices.
Nihat Narin: Thank you, sir. And another question again from Barrick [ph] asking about how do we read outlook revision of the CapEx after the corporation decision in development fiber network and/or just avoid application of infrastructure?
Kaan Terzioglu: Sure. The acceleration of our investment plans with regard to 4.5G is really about the mobile network deployment. We already reached 82% population coverage and the demand that we see in the marketplace justifies speedier execution on deployment of the network. So, the joint fiber investment company that we have announced today together with Vodafone, Turksat, the major Cable TV provider of Turkey as well as the alternative ISPs in the country they are related to the fiber deployment that needs to be done in the future. And the objective of this is really to make sure that 21 million households all reach at fiber-to-the-home solution and this will be regarding to the mostly fixed infrastructure projects.
Nihat Narin: Thank you, sir. I think the [Indiscernible] is quite generous and asking another question, while we're having another question on the line. Could you tell us the number of mobile Tuksat TV subscriber is of Q2? Let me answer this question. As of Q2 we had a mobile TV about 400,000, TV Web 74,000 and IPTV around 300,000, so that is answering the full answer of Barrick’s [ph] questions. So maybe we have another question is coming from the line. Trish?
Operator: Yes. We do we have another question that comes from [Indiscernible]. Please go ahead.
Unidentified Analyst: Hi, guys. Thank you for the call. Two quick questions. First one, can you guys give us a breakdown please on prepaid versus post-paid ARPU for the quarter. And second question is looking at your customer statement we see net operating cash flow going into the negative mostly due to working capital changes. Can you please give us some more color on what's going on there? Why the giant drop? Thank you.
Murat Erden: Sure. Let me start on the second question. Actually, excluding our spectrum payments we had a cash mutual position despite the fact that we have accelerated our CapEx investments in the first half. And we do feel comfortable with our alignment with the original plan. In terms of the breakdown of ARPU and the changes on the ARPU we have seen increased ARPU levels of 7.1% reaching to TRY25.1 and I'm just asking my team on the details. Excuse me, at least you can give us.
Kaan Terzioglu: Unfortunately we are not giving the breakdown of the ARPU major on the pre or post. But as you know there is a significant parties coming from data recently, but if you're asking for the peer ARPU on the prepaid and the post-paid, let me just rephrase. On the mobile post-paid ARPU is TRY25.7 was 24 last year in the same quarters. On the post-paid TRY28, now we disclosed 27.7. On the prepaid side 12.2 is up to 13.3. And all are actual disclosed in our press release.
Murat Erden: Maybe in terms of consumer ARPU the way I look at it has been up 11% which actually makes us very comfortable considering the increase penetration of our digital services driving the ARPU up for our consumer line of business.
Unidentified Analyst: Okay. Fair enough. Thank you very much.
Murat Erden: Thank you.
Operator: Thank you. [Operator Instructions] We'll now take a follow-up question from Vyacheslav Degtyarev of Goldman Sachs. Please go ahead.
Vyacheslav Degtyarev: Hi. Yes. Couple of more questions, please. So, firstly, what’s the reason for disappointing performance or seem to impact your willingness or the target valuation of the assets that you offered to [Indiscernible]. And secondly again the question on the buyback, maybe you might disclose some limit of the volumes that you might be pitched in within one one B [ph] or any timing for this share buyback. How long maybe that last? And also does this 150 million amount include bonds and shares combined? Thank you.
Murat Erden: So, Vyacheslav, thank you very much. With regard to performance of Fintur of course we are closely monitoring. We would – we got 8 million lost instead of 120 million gain as per our plan. So we are very concerned about the performance of Fintur and naturally this will be reflected in all our discussion in terms of our process in the acquisitions. With regard to the buyback the 150 million includes bond and also shares. I do not want to give any timing with regard to this. And bond acquisitions will be subject to capital market board's approval, but if in case that doesn't happen it will be all used for the share buyback. And the timing is really subject to as long as it is needed to keep the necessary measures for avoiding volatility.
Vyacheslav Degtyarev: Okay. Thank you.
Murat Erden: Thank you.
Nihat Narin: Trish there is couple of more questions through website. I'm going to ask again to my CEO, if I may. While we are waiting others question. I think infrastructure companies becoming quite popular now. We are getting more questions from there. Could you just tell us that if you're going to change your CapEx guidance going forward. If you established infrastructure companies. That's question comes from [Indiscernible] and their common question is coming [Indiscernible] from Global Securities.
Kaan Terzioglu: I think the infrastructure company, the joint company should be operational based on this action plan in next year 2017, clearly it will have an impact on our fixed investment CapEx, but I would like to mention that our short term guidance of accelerated investments with regard to 4.5G will not be impacted by this.
Nihat Narin: Thank you, sir. Trish, I guess I have no more question on the website, but if you have any questions standing on the line, please let's have it. If not we are ready to actually terminate the call.
Operator: There are no -- oh sir apologizes, we do have a popup question just coming up. Do you wish to take it?
Kaan Terzioglu: Please do.
Operator: Okay. The question comes from Barrick [Indiscernible] of Global Securities. Please go ahead.
Unidentified Analyst: Thank you for the presentation and for the answers. I would like to ask a question about your customer base. Right now we see a notable subscriber lost in post-paid segment. And what is your expectation about customer base? What is your red line about it? Right now, your post-paid customer reached 52%. Do you expect more subscriber losses at post-paid segment? Thanks for the answers?
Kaan Terzioglu: Thank you, Barrack [ph]. We are very comfortable with the pace of our customer acquisition and the mix of our subscriber base. As I mentioned before we stop the best practice of subsidizing practice for establishing new customers and we will continue sticking to that strategy. This only drives higher customer acquisition cost and no significant revenue impact. I suspect this practice will be also come only advisable for all the players in the market. I think the amount of customer acquired via this method has been extremely detrimental to the valuations.
Unidentified Analyst: Thank you.
Nihat Narin: Thank you. Trish, I understand that there are no any questions, neither on the web or online. Sir, do you have any remarks?
Kaan Terzioglu: Well thank you very much for your interest and confidence in our company. I look forward to talking to you over the next investor calls and our next quarterly call. Thank you very much.
Operator: Thank you...
Kaan Terzioglu: Well thank you for all. Thank you Trish, just to remind anybody would like to listen [audio gap].
Operator: Thank you. That will conclude today’s conference call. Thank you for your participation ladies and gentlemen. You may now disconnect.